Operator: Good day, everyone, and welcome to Orbital Energy Group Second Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management’s remarks. As a reminder, this conference call is being recorded. A replay of today’s call will be available on Orbital Energy Group’s website later today and will remain posted there for the next 90 days. I will now hand the call over to Mr. Eckstein of KCSA for introductions and the reading of the safe harbor statement. Please go ahead, sir.
Scott Eckstein: Thank you, operator. Hello, everyone, and welcome to Orbital Energy Group’s second quarter 2020 conference call. A copy of the Company’s earnings press release and accompanying PowerPoint presentation are available for download on the Events and Presentations page of the Investor Relations section of the Orbital Energy Group website. With us on today’s call are Jim O’Neil, Vice Chairman and Chief Executive Officer and Daniel Ford, Chief Financial Officer. Today, we will review the highlights and financial results for the second quarter as well as recent developments. Following these formal remarks, we will be prepared to answer your questions. I would also like to remind everyone that today’s call will contain certain forward-looking statements made within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities and Exchange Act of 1934, as amended. Such statements are subject to risks and uncertainties that could cause actual results to vary materially from those projected in forward-looking statements. The Company may experience significant fluctuations in future operating results due to a number of economic, competitive and other factors, such as the coronavirus, including, among other things: the Company’s reliance on third-party manufacturers, suppliers and service providers, government agency, budgetary and political constraints; new or increased competition; changes in the market demand and the performance or liability of its products, integrated solutions and services. These factors and others could cause operating results to vary significantly from those in prior periods and to those projected in forward-looking statements. Additional information with respect to these and other factors which could materially affect the Company and its operations are included in certain forms the Company has filed with the Securities and Exchange Commission. These forward-looking statements are based on information available to Orbital Energy Group today, and the Company assumes no obligation to update statements as circumstances change. Now at this time, it is my pleasure to introduce Jim O’Neil, Vice Chairman and CEO of Orbital Energy. Jim, the floor is yours.
Jim O’Neil: Thanks, Scott, and thank you, everyone for joining us today on our second quarter 2020 earnings conference call. During the second quarter, we continue to advancing our strategies to transform the Company into a diversified energy infrastructure services company and made progress toward our goal of being profitable and cash flow positive on a consolidated basis by the end of this year, positioning the Company for profitability as we move into 2021. We will accomplish this goal through several initiatives we have undertaken over the first half of this year. First, we will construct several utility scale solar programs through our newly acquired Reach Construction Group, a solar engineering procurement and construction services company, during the second half of this year. Our utility scale solar awarded backlog remained at $55 million for the remainder of this year. Second, we continue to expand our greenfield Orbital Power Services Group throughout the Southern U.S. to provide electric transmission and distribution services for invest rolling utilities and electric cooperatives. Third, and our legacy natural gas product and integration operations in North America and the UK, we continue to rightsize operations, while taking advantage of expanded business development activities and new markets specifically renewable gas. And finally, we have an acquisition pipeline of infrastructure companies with mutual interest to join the Orbital Energy Group. Our plan is to bring additional companies into the Orbital family to broaden our service offerings and geographical reach with synergistic acquisitions in the energy infrastructure services space, ultimately adding value for our customers and shareholders. During the quarter, we also implemented our corporate name change from CUI Global to Orbital Energy Group, which we believe reflects our strategic repositioning and progress in becoming a diversified energy infrastructure services provider. As a result, our common shares are now trading under the new ticker symbol of OEG. Before I discuss more specifically about our progress with this strategy, I’d like to briefly review the results of our second quarter 2020 performance. Total revenues were $7.8 million for the quarter, compared to $6.3 million for the second quarter of 2019. The year-over-year increase was attributable to Reach and Orbital Power revenues being included in the period offset in pact by lower integration revenues in our Orbital Gas systems operations, reflecting project delays related to the COVID-19 pandemic and lower oil prices that were experienced during the quarter. Net loss for the quarter was $9.3 million compared to a net loss of $2.3 million for the second quarter of 2019. The delay in Reach solar project awards into the third quarter and higher SG&A expenses during the quarter, specifically attributable to Orbital Power Services and Reach Construction overhead costs negatively impacted the Q2 results. Dan will provide additional detail on our financial performance shortly. Despite COVID-19 headwinds to our business, we’re encouraged by the level of customer activity we are seeing from most of our operations. Reach construction is in the early stages of constructing a 65-megawatt facility in Virginia that began in July, with two additional projects starting this month, and one more in September, with several other projects under negotiation to begin construction this year. As stated earlier, Reach’s awarded backlogs to be executed this year is approximately $55 million. According to a report published in June by the U.S. Solar Industries Association and Energy Research from Wood Mackenzie, the solar industry will install 18 gigawatts this year and that’s the power more than 3 million homes. That represents new U.S. solar capacity growth of 33% in 2020, and we expect the solar market to be very active for at least the next five years and beyond as renewable energy targets set by states and the lower cost of solar power continues to drive demand. Reach is well positioned to capitalize on this industry momentum. Orbital Power Services, our greenfield operation continues to gain traction. This internally developed operation has grown into a full service construction and maintenance service provider to the electric power industry, providing distribution, transmission, substation, renewable and emergency response services to customers throughout the Southwestern and Southeastern United States. While this business has developed more slowly than we had originally anticipated due to the impact of COVID-19, it continues to take advantage of new customer opportunities and is expected to be profitable by year end. This month, Orbital Power was awarded in electric distribution master service agreements to our customer in Georgia, expanding its geographic coverage beyond Oklahoma and Texas. We have also dispatched our electric crews to the eastern U.S. to provide emergency restoration for to the electric power system in response to Hurricane Isaiah. We are confident this group will continue to grow as we are in discussions with several other utilities to assist with their electric transmission and distribution capital plans. We expect this market to be robust for years to come, as utility customers continue to replace existing infrastructure, much of which is the beyond its useful life as well as integrate renewable generation on to their transmission and distribution system as they move away from coal and nuclear power generation. Additionally, the electric power industry is dealing with an aging workforce dynamic, which is creating a void and experienced construction resources to meet utility customer needs. Our Orbital Gas Systems product and integration operations were materially impacted by COVID-19 related disruptions in the local market in the quarter. Orbital Gas Systems in North America has experienced most large petrochemical integration projects being placed on hold until next year. Smaller maintenance based projects are moving forward and we continue to bid and win our share of these projects. Also some petrochemical plants are beginning to allow contractors to return to their sites and perform service activities. However, the overall impact of non-performing large project work this year, will impact our Houston operations by approximately a 30% reduction in revenues compared to our expectations going into this year. During this downturn, we did identify and initiate a new service offering and are now providing analytical training classes for customers on site. Providing training to customers will not only create a new revenue stream for the Company, but also open the doors for more integration and service opportunities as we move forward. Turning to our UK Orbital Gas System operations, our site service work, which was virtually shut down due to COVID-19 has significantly recovered almost to pre-pandemic levels. We’re now experiencing minimal impact on integration services including engineering design, or project delivery. A significant driver for our success during COVID-19 was the expansion of the Company’s business development efforts earlier this year to pursue new markets. As a result, renewable project revenues comprise of approximately 15% of the revenues in the first half of 2020, which includes providing integration services from Mainland Europe’s first biomethane project. We anticipate the cadence of customer opportunities to continue at a nice pace throughout the remainder of this year. As of June 30, 2020, our total backlog under contracts which does include awarded projects, not yet under contract or discontinued operations was $46.4 million compared to $9.5 million at March 31, 2020. This reflects the inclusion of Reach and the growth of Orbital Power Services in 2020. In closing, despite recent headwinds from COVID-19 and delays in the construction of utility scale solar projects to the back half of this year, we continue to make progress during the quarter without transformational strategy to become a diversified energy infrastructure services company. We successfully completed our platform acquisition of Reach Construction Group, and we’ll see meaningful backlog translate into revenues in the second half of this year. The Reach acquisition is a forward looking story that will play out over the next several years, capitalizing on the Company’s industry relationships meaningful backlog for this year and a pipeline has significant utility scale project opportunities, which we are well positioned to be awarded. Orbital Power Services continues to grow its capabilities geographically and will continue this trend throughout this year and beyond. At the same time, we expanded our business development efforts and our legacy businesses in both Houston and in UK, beyond the gas network market and to the renewable gas market, which has started to yield tangible results for several new project wins. On a consolidated basis, we expect to be EBITDA and cash flow positive going into next year. This concludes my opening remarks. Now I will pass the call on to Dan Ford, who will review our financial results. Dan.
Daniel Ford: Thank you, Jim, and good afternoon everyone. Today, I will review our second quarter 2020 GAAP financial results. I’d like to remind everyone that I will focus my remarks today on the Company’s continuing operations. Of note with the acquisition of Reach Construction Group in April, 2020, the Company has revised it segment structure. A new segment named the electric power and solar infrastructure segment was formed and now includes Reach Construction Group and Orbital Power Services. Previously, Orbital Power Services, which commenced operations in the first quarter of 2020, was included as part of the energy segment. The former energy segment has been renamed as the Integrated Energy Infrastructure Solutions & Services segment and includes Orbital Gas Systems Limited in the UK and Orbital Gas Systems North America. The former Power & Electric Mechanical segment is presented in discontinued operations as the electric mechanical business was disposed of during Q3 of last year, while the remainder of the domestic power business was divested during Q4, 2019 with CUI Canada and CUI Japan remaining as held for sale at this time and also presented as discontinued operations. We reported total revenues of $7.8 million for the second quarter of 2020 compared to $6.3 million for the second quarter of 2019. These reflect lower revenues from the Orbital Gas Systems operations during the quarter. The UK continues to face headwinds surrounding COVID, Brexit, the overall market conditions in the UK, and the impact of political environment on investments within the energy sector, though we have seen improvement in operations during the first half of 2020. The U.S. operation was significantly impacted by COVID-19 and the drop in the price of oil, both of which negatively impacted the U.S. market conditions resulting in delays of the customer project schedules. As Jim discussed earlier, we expect integration revenues in our UK operations as well as Orbital Power and Reach operations will improve during the second half of 2020. We’ve already been experiencing an uptick generally across most of our business segment that began in the latter part of June and has continued into both July and August. We expect this to translate into increased revenues as we begin to work on our significant 2020 customer backlog. Gross profit was $1 million for the second quarter of 2020 compared to $1.7 million for the second quarter of 2019. Gross margin was 13.4% for the second quarter of 2020 compared to 27.5% for the second quarter of 2019. The Integrated Energy Infrastructure Solutions & Services segment had gross profit margin of 37.7% during the quarter. The margin decrease for the quarter was attributed to the Electric Power & Solar Infrastructure segment related to close out costs on Reach projects that has a little margin remaining after Q1 and start up costs at our new Orbital Power Services Group. These costs are largely behind us and we expect margins to improve during the third quarter and remainder of 2020, as Orbital Power Services gain greater operating efficiencies and higher margin and increased revenue projects from Reach commence and companies throughout the world continue to adapt to the new operating environment created by COVID-19. Increased sales of higher margin products, a better mix of integration projects, increased service revenues throughout our energy focused operations and a significant backlog of solar projects for Reach Construction Group are expected to drive continued improvement to gross profits. During the three months ended June 30, 2020, SG&A increased $2.3 million compared to the prior year comparative period. The increase in SG&A for the quarter was related to $1.6 million of SG&A to Reach Construction and Orbital Power Services, and increased corporate costs largely due to strategic initiatives, which included increased professional fees related to perspective acquisitions offset by a $480,000 reduction in SG&A in the Orbital Gas Systems operations. Continuing loss from operations was $7.2 million for the second quarter of 2020, compared to $3.2 million in the prior year period, due to the items previously mentioned. As you noted, net loss for the quarter was $9.3 million compared to a net loss of $2.3 million for the second quarter of 2019. The significant Reach Construction contracts are expected to deliver in 2020, beginning in Q3 at which point we expect to see the earnings of Reach Construction begin to positively impact the group. Orbital Power Services continues to increase its business and is expected to achieve profitability later this year. Given the Reach solar project delay in Q3, along with higher SG&A expenses during the quarter, specifically attributable to Orbital Power Services and Reach Construction overhead costs, the Q2 results were negatively impacted. We believe this is a short-term matter, with the increase in Reach and Orbital Power Services activities expect in the second half of the year based on existing backlog. The net loss was due primarily to $9.9 million from continuing operations, net of income taxes, consisting of operating losses at Reach Construction and Orbital Power Services during the quarter of $3 million. The Orbital Gas Systems group of $1.6 million and corporate costs of $2.6 million, along with a $4.4 million loss recognized on the virtual power systems equity method investment. These were offset by income tax benefits of $1.6 million. In addition, the Company recognized income from discontinued operations of $573,000 during the quarter. As I just noted for the second quarter, the Company recorded a $4.4 million loss on its equity method investment in virtual power systems compared with $8.4 million loss in the three months ended June 30, 2019. The increase in the loss on equity method investment included a $3.5 million impairment recognized following an updated U.S. GAAP valuation. The Company continues to believe the VPS investment may provide significant returns; however, VPS must execute on this opportunity. Jim shared that our backlog was $46.4 million as of June 30, 2020, up significantly from March 31, 2020 backlog of $9.5 million due to the inclusion of Reach’s backlog and growth from Orbital Power. At June 30, the $46.4 million backlog consists of $37.5 million from the electric power and solar infrastructure segment and $8.9 million from the Integrated Energy Infrastructure Solutions & Services Segment. Despite in near-term difficulties we encountered from this pandemic, we continue to see the long-term benefits from the Reach acquisition and expect as a substantial revenues and positive net earnings to Orbital Energy Group. While some of Reach’s projects have pushed into next year, as previously mentioned, we’re already seeing some other projects coming back online. That’s because Reach’s project pipeline is based on its proven repeatable processes to provide its customers with safe, high quality predictable results in a cost effective manner. One additional item I’d like to mention is regarding the Reach transaction. As you may recall, we close this transaction at very attractive terms with a purchase price of approximately $37 million via the issuance of 2 million shares of our common stock and the assumption $35 million and sellers debt. The acquisition includes an earn-out component, allowing the sellers to earn up to an additional $30 million upon hitting significant dividend milestones. As a result our recent business conditions related to COVID-19, U.S. GAAP adjustments to Reach’s financial statements acquisition and the need for more initial working capital than previously expected. We have revisited these terms in order to fully realize Reach’s long-term potential. The acquisition includes a working capital requirement, which result in an adjustment to the purchase price. The adjusted purchase price for Reach was $11.4 million, consisting of the 2 million shares of equity issued, $6.5 million in sellers notes, the $3 million funded to Reach in Q1 and the contingent earn-out present valued at $720,000. We continue to take steps to bolster our short-term liquidity, including discipline management of both working capital and expenses. At the end of the second quarter, we held cash and cash equivalents of $4.4 million and restricted cash of $3.6 million. From a cash utilization standpoint, the Company significantly reduced its cash outflows during the second quarter compared to the first quarter of 2020. During Q2, the cash used in operating activities was $1.3 million compared with 7.7 million used during the first quarter of 2020. Cash used in investing activities in Q2 was $186,000 compared with $7.4 million in Q1, which included the $3 million note receivable with Reach construction and that acquisition was allocated to the purchase. Financing activities provided $1.6 million during the quarter versus a Q1 use of $429,000. This is primarily attributable to the PPP funding received during the quarter, partially offset by the payment of notes payable. Some of the more significant items pertaining to cash usage during the six month period include $2.7 million for funding operating activities and $1.3 million of fixed assets for the Orbital Power Services greenfield operation. As noted in our comments today, we expect this group to turn to generating cash flow during the second half of the year and going forward. The cash used are in the first half of the year was more significant due to its early stage startup costs and investment in the necessary equipment. Discontinued operations used $1.9 million primarily for increases to AR and inventory and decreases in liabilities. That group is expected to generate positive cash flow for the full year based on the backlog orders to be delivered. Other significant uses include the one-time $2.8 million payment in Q1 of the working capital adjustments not used, and the previously mentioned $3 million investment into Reach. During the quarter, the Company owned subsidiaries entered into unsecured loans in the aggregate principle amount of approximately $1.9 million pursuant to the Paycheck Protection Program. The loan and interest accrued thereon is forgivable, partially or in full, if certain conditions are met. The Company will continue to work to improve cash flow and managing its working capital as it works through the COVID-related delays and the permitting delay related to the Reach backlog of contracts in Q3. Now that Reach is starting to realize its contractual backlog and Orbital Power is further along and growing rapidly, we expect our cash usage rate will continue to improve, and we anticipate that we will begin to generate positive cash flow during 2020. In the short term, we continue to diligently manage our working capital to preserve liquidity. We are actively exploring a number of options and look forward to updating you in the near future on our progress in this area. Additionally, we anticipate additional cash inflows from the expected sale of remaining power and electromechanical operations of CUI Canada and CUI Japan. Both of these entities remain held for sale and based on discussions today, we expect to complete both of those divestures by the end of the year. I’ll now turn the call back over to Jim for closing remarks.
Jim O’Neil: Thank you, Dan. To summarize in the second quarter, we continue to pursue our strategy to develop a diversified energy infrastructure services platform. This includes the successful acquisition of Reach Construction Group and the continued development of both our legacy energy businesses, Orbital Gas System and our newly launched Orbital Power Services Group. We have built a strong foundation with our energy infrastructure services offerings and believe we are well positioned to capitalize on the rapidly growing areas of alternative and renewable energy. By continuing to follow this course, we will expand our presence in the energy infrastructure services market through both organic and acquired growth, diversifying into other synergistic services, and creating long term value for our shareholders. Before we go to Q&A, I’d like to talk about the current state of the COVID-19 pandemic, how it has impacted our business and our expectations going forward. As we stated on prior calls, Orbital Energy Group and its subsidiaries have been designated as an essential critical infrastructure workforce. As a result, we’ve continued to operate in most areas throughout this pandemic. Having said that, as previously stated in April, we began experiencing a broader impact from the COVID-19 pandemic on all aspects of our integration and product sales, both domestically and in the UK. Integration projects we had previously been awarded were delayed indefinitely and the pipeline of future opportunities slowed substantially. Additionally, the majority of our service work was put on hold, as customers were not allowing contractors on their work site. As I mentioned earlier, in late June, we started to see a resurgence of business activity in our UK operations as economies have reopened and work began to resume in many areas. We are experiencing a retrenching in our Houston operation due to the spikes in COVID-19 cases. However, overall we’re seeing business conditions better improved from what we’ve experienced in April and May. The health and safety of our employees is our top priority. We will continue to act in accordance with the guidelines provided by the CDC and the Department of Homeland Security. We continue to employ increased safety protocols at each of our locations. We have also implemented the utilization of tail work wherever is feasible. Our team continues to monitor new developments on a daily basis and will continue to make operational changes as necessary to ensure the safety of our employees and their families. We remain confident that our long-term business fundamentals remain intact and look forward to updating you on our progress in the near future. That concludes our prepared remarks. Now, we’d like to open the call for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Eric Stine with Craig-Hallum.
Eric Stine: So just wanted to start with Reach, I know back when you made that acquisition, I think at the time, had a $100 million backlog and I know you have been pretty clear since then. I think the number is 50 plus for 2020. But just curious about the remainder of that, I know it’s likely pushed into 2021. Is that a number that still kind of hold true? And then, maybe some commentary on the pipeline and what you see and presumably most of that would be 2021?
Jim O’Neil: So, the $55 million is four projects that have been awarded. Three of them are under contract, one is being negotiated and the completion dates have not been pushed out. So, the construction schedules will be accelerated. So, we’re not saying much if any of the $55 million right now being pushed into 2021, because the customer does not want to move the completion date out further than where it is today, which means that, we’ll just have an accelerated construction schedule. The pipeline of opportunities in 2021, there are opportunities that we’re currently working with customers on, but we don’t have anything under contract yet.
Eric Stine: Okay, got it. And then original $100 million, I mean, is it fair to say that, was that more of a pipeline number or is that kind of firm number when you think about 2021? Or is it really, that’s just not the way the business works? You don’t necessarily have visibility beyond and maybe the next couple of quarters.
Jim O’Neil: Well, we had 100 million in backlog when we close the deal. 45 million of that which was two projects were pushed into next year due to COVID. Customers will typically rebid or relook at those projects when they’re pushed that far out. So, we’re not looking at those projects as being in backlog right now. But I’ll tell you, there are several hundred million dollars worth of opportunities out there that we feel good that we will execute on for 2021. This business is not a business that gives you a great deal of backlog beyond a certain period of time. So, in other words, projects for 2021 will not be signed probably until the fourth quarter of this year. There’s just not a lot of time between awarding the start of construction.
Eric Stine: Perspective and for those two projects, you just mentioned those, those are part of that $100 pipeline or $100 million plus pipeline for 2021?
Jim O’Neil: That’s correct.
Eric Stine: Okay. And maybe just turn into Orbital Power Services. I mean, I have great news on the MSA. I know you’re a few quarters in there, and I know COVID is kind of impacted things in the rollout. I’m just curious what your, if your opinion has changed at all as to the market opportunity I guess outside of timing?
Jim O’Neil: No, we feel real good about the market opportunity. Just some of the larger investor-owned utilities, we’re ring-fencing their areas and not allowing any new contractors onto their system due to the risk of spreading COVID. And so, we’re seeing some of that relaxed somewhat and that that led to the opportunity for us to go to work in Georgia for this electric co-op. And we’re looking at several other opportunities. So, we feel comfortable that there will be a nice cadence of us adding crews throughout this year and into next year as we build this business, and we do expect Orbital Power will be EBITDA positive going into 2021.
Eric Stine: Okay, good. Maybe last just on the acquisition plans. I’m curious. Again, I know COVID kind of caused potentially, the timing would be impacting there, but is it still the plan, one to two a year and this isn’t going into 2021? I mean, it’s a one to two a year and that would be the normal cadence going forward?
Jim O’Neil: The normal cadence would probably more than one to two a year. We were saying one to two year this year because of the -- all of the dynamics with COVID. But we naturally were looking at acquisitions that we may pull the trigger on between now and the end of the year, which could be anywhere from one to three acquisitions that we could make. These companies are all EBITDA positive today and cash flow positive. So, these are opportunities we’re looking at real time, and potentially, we will execute on between now and the end of the year.
Operator: Thank you. Your next question comes from the line of Liam Burke with B. Riley.
Liam Burke: On the gross margins, I know they were down year-over-year, but it was sort of an apples to oranges. If I looked at the gross margin sequentially, though, understanding you bought Reach into the fold, they improved. Was it the fact that Orbital Power began to do better? Or have you been holding the integration business with expenses? But how did you get that sequential step-up?
Daniel Ford: Yes, Orbital Power Services contributed positively in Q2, Q1 it did not provide much there. And that has to do with the volume of work and the efficiencies gained by the crews out in the field as they ramped up their volume. And then also the integrated energy group that Orbital Gas System had margins approaching 38% this quarter. So, they had a very good service and integrative projects that came in during the quarter that helped the overall margin improved. As I noted in my comments, we expect the margins to continue to improve this year, as the Reach project pick up seen here in Q3 and Q4 and then also as Orbital Power Services continues to ramp.
Liam Burke: Okay. And on Reach, you mentioned that there was some legacy projects that were not profitable or excess expenses. Can we think about going into the third quarter with Reach operating more on a clean project basis? Or do you have anything to work out in the third quarter, clean up?
Daniel Ford: It’s mostly clean, so there’s a few small pieces yet clean up, but for the most part of the projects in play right now all have margin, have good margin in them.
Liam Burke: Okay. So if I’m looking at gross margins in the third quarter and then -- I mean, second quarter, excuse me, going into the third quarter, we could expect, I mean, normal contribution from all 3 of the businesses?
Daniel Ford: That is our plan. Yes.
Liam Burke: Okay, great. Thank you.
Jim O’Neil: The only business that was struggling right now was the Huston operations. The rest of the businesses have a positive trajectory from a standpoint of where they were in the second quarter to where they will be at the end of the year.
Operator: Thank you. And our next question comes from the line of Robert Brown with Lake Street Capital.
Robert Brown: I just want to loop back to the power services business and it kind of gets your view on the growth opportunity there. You’ve got an initial start, but how do you see that developing, dollar organic at this point? What’s the kind of opportunity there in your mind over sort of three years?
Jim O’Neil: Well, I think we should be able to organically grow this business at a very nice clip, obviously 20% to 30% growth a year, at least organically. And there are -- in addition to that, we’re looking at acquisitions in the T&D space as well. So, we expect it to be a meaningful contributor to the Company here in the short-term and certainly into 2021.
Robert Brown: Okay, great. And Dan, I think you mentioned the U.K. side, business picked up and started to normalize. Is that really just a return to COVID? Or is there other dynamics going on in that market?
Daniel Ford: In the UK the recovery is primarily because we expanded our business development efforts to where we’re not only pursuing the traditional natural gas projects, but we’re pursuing renewable generation projects as well. And that’s probably going to do upwards of close to 30% of their business as we get into the second half of year. So, we are expanding our development efforts was, at the end of the day a good thing for us to do with the natural gas customers flowing. So, I would say, natural gas customers have flowed but it’s been replaced by renewable gas opportunities that we are seeing in UK.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Jeff Bernstein with Cowen.
Jeff Bernstein: Just a follow-up on that question, regarding Europe, it does look like they’re having sort of a green new deal approach to coming out of COVID. And I’m just wondering, what you guys see in terms of Snam or ENGIE coming back and some of the larger contracts that you were anticipating out of UK grid and related entities?
Jim O’Neil: Yes, right now, they’re still delayed. We’re not seeing anything out of Snam unfortunately and the same thing with the UK. The UK is testing some of our devices that have been implemented in the field and those tests are ongoing right now. And we expect hopefully something about the results and moving forward with the next phase by the end of year, but nothing yet.
Jeff Bernstein: Do these deals kind of age out? Or is it really just the case of the come back when these countries come back on?
Jim O’Neil: I think it’s the latter. I think, the opportunities are still out there, but at least as the COVID crises as well as the government changes and it just creates -- they’re just -- they can’t make a decision. So, we’ve got a significant amount of units support already out in Italy and certainly prepared to deploy more when they’re ready.
Jeff Bernstein: Got you. Okay. And then any update on the Samsung relationship? Is that kind of punked out or is there still potentially life there as things get back to normal?
Jim O’Neil: Samsung is still a distributor for us, and we enjoy the relationship we have with them and there’s certainly future opportunities to work with them on other projects.
Operator: Thank you. I will now turn the conference back over to Jim O’Neill for any closing remarks.
Jim O’Neil: Yes, I would like to thank everyone again for joining us today on our call and for your continued interest in Orbital Energy Group. We look forward to having follow-up conversations with many of you and updating you on our progress, as we move throughout the year. Thank you and have a great evening.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.